Operator: Good morning. And welcome to the Zebra Technologies 2011 Fourth Quarter Earnings Release Conference Call. Joining us from Zebra Technologies are Anders Gustafsson, CEO; Mike Smiley, CFO; Mike Terzich, Senior Vice President, Global Sales and Marketing; and Doug Fox, Vice President, Investor Relations. All lines will be in a listen-only mode until after today’s presentation. Instructions will be given at that time in order to ask a question. At the request of Zebra Technologies, this conference call is being recorded. Should anyone have any objections, please disconnect at this time. At this time, I would like to introduce Mr. Doug Fox of Zebra Technologies. Sir, you may begin.
Doug Fox: Thank you. Good morning. Thank you for joining us today. Certain statements made on this call will relate to future events or circumstances and therefore will be forward-looking statements within the meaning of the Securities Litigation Reform Act of 1995. Words such as expect, believe and anticipate are a few examples of words identifying a forward-looking statements. Forward-looking information is subject to various risks and uncertainties, which could significantly affect expected results. Risk factors were noted in the news release issued this morning and are also described in Zebra’s 10-K for the year ended December 31, 2010 which is on file with the SEC. Now, let me turn the call over to Anders Gustafsson for some brief opening remarks.
Anders Gustafsson: Thank you, Doug, and good morning, everyone. Today Zebra reported solid fourth quarter financial results concluding another year of strong growth. Earnings from continuing operations advanced 20% to $0.63 per share on a 6% increase in sales to $247 million. For the fourth quarter, we maintained high profitability and generated $36 million in free cash flow. Our robust and steady run rate business and several large deals led to record sales in Europe and near record sales in North America. Globally, record sales of mobile and card printers underscored solid performance in several product categories, as we helped more customers in targeted industries, improved business performance by enabling them to see more and do more. Fourth quarter results demonstrate the great value of Zebra’s industry leadership. Investing in those areas that deliver the highest risk-adjusted returns, we gained share on the strength of expanded channel relationships and the more competitive line of innovative products. Our fourth quarter performance caps a very successful year for Zebra. For all of 2011, we achieved 10% sales growth, with records sales in all international regions and in multiple product lines. Increases in gross margin and effective expense management drove operating leverage and a 2% increase in operating margin to 18.5%. We invested more than $160 million to repurchase 4.4 million shares of Zebra stock and delivered a 32% increase in earnings from continuing operations to a record $2.40 per share. With a net gain on the sale of Navis and proveo net income for the year was $3.22 per share. Operationally, we made progress on several strategic fronts. We opened new sales offices in China, Russia and Brazil, and the sales resources previously brought on board became more productive. We accelerated the pace of product introductions with a record 13 new printer products, and 10 hardware and software releases for vacation solutions in 2011. These new products enabled us to broaden our customer base in established and new industries. We also made excellent progress in building relationships with a broader base of customers in targeted verticals. These achievements have positioned Zebra to deliver increased shareholder value over the long-term. I would now like to provide an overview of the highlights for the quarter by region. In North America, year-over-year sales increased 9.5%. Steady bookings throughout the period created an underlying foundation of strength for the region. Several large orders further reinforced our performance. Shipments of mobile and desktop printers in particular supported applications for customers in retail and small package delivery. We were also pleased with the level of orders for our recently introduced QLn wireless mobile printer, including one for government labeling application. This shipment highlights the success of our take share strategy and increased focus on growing our presence in the government sector, which has historically been underserved by Zebra. Customers are responding enthusiastically to the innovative features of the QLn mobile printer, which incorporates a flexible user interface for easy configuration. Our EMEA region was another source of strength in the fourth quarter with sales up 5% from a year ago to a record $88 million. In an environment with some significant economic challenges, we are particularly pleased with the achievements of our EMEA organization. Eight of 10 sub-regions posted year-over-year gains with notable performance in manufacturing-centric Germany, as well as France and the U.K. Larger deals included shipments of wireless mobile printers to retail and transportation customers, kiosk printers for banking applications and card printers for government identity cards. It was also a good quarter for sales of labels and ribbon supplies in the region. Supplies and service offer growth in our core business which we will be focusing on in 2012. In Latin America, the timing of some orders and shipments contributed to a temporary moderation in sales growth to $21.6 million. Sales of card and mobile printers however were particularly notable. Banks in Venezuela are now using Zebra P100 card printers issue customized credit cards on-demand to prequalify customers. Our ZXP8 retransfer card printer is being used for printing secure employee IDs in Mexico. In mobile printing, the broad range of Zebra wireless mobile printers was shipped to help retail customers in router accounting and short labeling applications. In Asia-Pacific, sales of $32.5 million reflect the slowdown in manufacturing, which affected sales of high-performance printers. The severe flooding in Thailand which restricted several multinational companies from delivering goods to their customers was a contributing factor for the manufacturing softness. Despite these challenges in Asia-Pacific, we remain on course strategically in this important region. The addition of 35 independent software vendors has already opened new opportunities. Recent orders include a large shipment of tabletop printers for managing fireworks, a large industry in China. We’re also making excellent headway in building a greater presence in government and healthcare. From the retail perspective, burgeoning in middle class continues to make this vertical another attractive area of growth. Under product front, we have been very pleased with the customer demand for the new printers introduced in 2011 to meet unique regional requirements. First introduced in China, we will be offering these region specific models to customers in other geographies beginning in March of this year. Zebra’s results for the fourth quarter and for all of 2011 demonstrate the success of our actions to serve more customers in retail, manufacturing and other targeted industries. At the same time, we are building a footprint in areas that offer significant new growth prospects for Zebra, including financial services and government. Increasingly, customers choose Zebra because of our commitment to help them manage ever more complex asset management challenges with innovative products, diversity of our business across products, customers, geographies and industries is an important foundation in our constant pursuit of shareholder value creation. As we look to 2012, Zebra is well-positioned with enhanced capabilities, including more sales representation in high-growth regions, a fuller more innovative product line, a robust strategic plan for North America and stronger more engaged go-to-market channels. These enhanced capabilities will enable us to better meet the increasing needs of our global customers. I would now like to turn the call over to our CFO, Mike Smiley to provide a detailed review of fourth quarter results and guidance for the first quarter of 2012. After Mike’s remarks, I will return for some brief closing comments.
Mike Smiley: Thanks Anders. Let me highlight some of the key components of Zebra’s results for the fourth quarter. My comments will principally focus on year-over-year changes in the performance of Zebra’s continuing operations which have been adjusted for the sale of Navis and proveo. First, sales came with our guidance range on strength in North America and EMEA partly as a result of sales and marketing strategies to expand the scope of opportunities, take share and broaden the customer base within targeted verticals. Second, gross margin was up slightly as year-over-year improvements in volume, overhead and freight offset changes in product mix. Third, operating expenses included an anticipated $2 million in expenses related to our Global Partner’s Conference which we hold every three years and continued investment in geographic expansion. And fourth, we repurchased 429,000 shares of Zebra stock during the quarter. Let’s review sales. For the quarter sales increased 6% from $234 million last year to $247 million. Changes in foreign exchange did not have a material effect on quarterly sales versus a year ago. By region, North America maintained a high level of business activity. Sales were up 9.5% over the previous year’s fourth quarter and only down slightly from the third quarter. Shipments of several large deals to customers in retail and small package delivery augmented steady run rate sales through distribution. EMEA also maintained excellent business momentum. Fourth quarter sales were a record $88.4 million, up 4.5% from the prior fourth quarter and up 4.4% sequentially. Shipments of mobile, card and kiosk products were notably strong, in addition to supplies and aftermarket parts and services. Latin American sales were up 1% for the quarter and 11% for the full year. Our fundamental outlook for this region also remains positive because of the great many opportunities continuing to develop in Brazil, Mexico and elsewhere. In Asia-Pacific, sales of desktop, card and mobile printers maintained favorable momentum, up slightly year-over-year the region grew 26% for all of 2011, aided by our investments in sales resources to build channel and customer relationships. We remain positive on the outlook for Asia-Pacific. By product category, hardware sales were up 5%, supply sales were up 11%. Turning to profitability, we maintained high gross margin at 49.1%, up 20 basis points from 48.9% a year ago on favorable movements in volume, overhead absorption and freight. These benefits offset an unfavorable movement in mix, with lower proportional sales of high-performance tabletop printers. Operating expenses increased 11% from a year ago, including increased compensation cost from investments in geographic regions and strategic sales efforts, as well as for our Global Partner’s Conference. On a sequential basis, operating expenses increased $5 million from higher business development cost, the conference expenses and some higher to normal employee-related insurance costs. Fourth quarter results included approximately $2.4 million costs from this -- from some component supply constraints related to the Japan catastrophe in the form of higher component costs, sales incentives and freight charges. For the full year, these costs totaled $7.7 million. As we enter 2012, these costs are now behind us and our supply chain is back to normal operations. Quarterly operating income totaled $42.1 million for 17.0% margin, adding $6 million in depreciation and amortization to the operating income totaled $48.1 million of cash earnings or 19.5% of sales. The income tax rate for the fourth quarter was 20.1%. The decline from year ago relates to higher profits international jurisdictions and payroll adjustments of prior year’s sales tax returns which were filed in fourth quarter of 2011. GAAP EPS from continuing operations were $0.63 per share on 52.4 million average shares outstanding. During the fourth quarter, we had 52.3 million shares outstanding. Fourth quarter results also include a net gain of $2.2 million or $0.04 per share as a result of finalizing taxes round the Navis and proveo divestitures in discontinued operations. In the fourth quarter, we bought back 429,000 shares of Zebra stock. The weighted average price of the purchases was $32.24 per share. These purchases bring the year-to-date total number of shares purchased to 4.4 million shares, returning $160 million to shareholders. The day sales outstanding declined from 52 days for the third quarter to 49 days. Inventory turns decreased from 4.4 times to 4.0 times as investors increased -- as inventories increased due to the Japan crisis. We will be working to reduce inventories in 2012. Our distribution centers are fully replenished following last year’s supply chain disruptions and we have a more normalized product flow, and our extended supply chain. Quarterly free cash flow totaled $36 million in the -- for the fourth quarter. At the end of the quarter, we had $327 million of cash and investments on hand. Now, let’s look at our first quarter forecast. We are forecasting 2012 first quarter sales of $237 to $246 million. This guidance reflects usual seasonality, as well as the near-term business and foreign currency condition. Earnings are expected at $0.52 to $0.59 per share. Our forecast assumes a consolidated gross margin in the range of 48% to 49%, primarily as a result of the lower sales volume and a less favorable FX rate from the fourth quarter. GAAP operating expenses are forecast between $76 million and $79 million. The tax rate is estimated to be 28%. Finally, for all of 2012, we expect capital expenditures to approximate $15 to $20 million. That concludes my formal remarks. Thank you for your attention. Now here is Anders for some concluding comments.
Anders Gustafsson: Thank you, Mike. In 2011, Zebra extended industry leadership and further strengthened our strong competitive position. Our results for the fourth quarter and full year demonstrate the value of the diversity of our business, as well as our focus on innovation, investment and execution. These factors give us great confidence in Zebra’s capacity for further profitable growth and shareholder value creation. We remain positive about Zebra’s future despite of the near-term uncertainty in business conditions. Over the past several years, Zebra has proven its ability to operate and manage the business through changing market conditions. We will remain agile and responsive as we continue to invest prudently to successfully extend leadership, increase profitability and grow capital returns. For 2012, our strategic priorities build on Zebra’s foundation of strength and our -- enhanced ability to meet more customer needs. We will continue to invest in those activities that deliver attractive, long-term, sustainable growth, namely, penetrating existing markets more deeply, expanding into new markets, intensifying product innovation and maximizing operational effectiveness. We have previously outlined our strategy to penetrate existing markets more deeply with a focus on targeted industries. Our success in retail demonstrates the effectiveness of this strategy as we have captured more business with a broader base of customers. In 2012, we will also invest more in our core competencies of channel and product development. This will enable us to continue to be the key strategic partner of more customers as our industry leading products and solutions give end-users greater visibility into their operations. Enhancing our relationships with value-added resellers in part through our award winning PartnersFirst, channel program remains a cornerstone to this initiative and a key to our success in gaining share. At the same time, we continue to strengthen direct ties with strategic accounts, and build and expand our relationships with independent software vendors and system integrators in retail, manufacturing and healthcare. We have accelerated the pace of new product introductions, fulfilling our mission to give our customers valued assets a digital voice. In 2011, the many new printer and location products we introduced have features and functionality to serve more customers, customer needs and open new opportunities for Zebra. The products introduced last year, including card printers and the QLn wireless mobile printer are gaining strong customer acceptance based on their innovative functionality, reliability and ease-of-use. For 2012, we have an ambitious lineup of products scheduled for introduction. These products cover multiple categories and incorporate new features that will enable Zebra to expand its footprint even further. We continue to focus on expanding into new and emerging geographies as well. We recognize how much the growing consumer class in China and beyond offers further business opportunities. Our investments in building a greater presence in China, Brazil, India and other emerging countries are paying off nicely. Zebra has established a meaningful presence in these areas and the platform for further expansion by vertical and customer. Most recently, we launched our initial expansion to Russia. Our expansion plans also call for a more aggressive entry into markets traditionally underserved by Zebra, such as government. In addition to core printing applications, the government vertical gives us a great opportunity to deliver integrated solutions incorporating RFID and location solutions, a unique capability and advantage for Zebra over the competition. Card printing with a refresh product line and channel engagement is another area for further growth for Zebra. We are excited about the many important opportunities to extend leadership and deliver profitable growth. In addition to pursuing those opportunities through internal growth, we will support our strategic mission by carefully considering potential acquisitions as they arise. Share buybacks remain another important alternative in deploying our resources where they can earn the highest risk-adjusted returns. Finally, we hope you will be able to join us on February 22nd in Chicago for our first Analyst Day in four years. At the event, senior management will present more about the company and we will offer attendees a greater understanding of the value and future direction of Zebra products with an on-site product innovation fare. This concludes our prepared remarks and I thank you for your attention this morning. I would now like to turn the call over to Doug for Q&A.
Doug Fox: Thank you, Anders. Before we open the call to your questions, let me ask that you limit yourself to one question and one follow-up. In addition, Mike and I will be available after the call for any further discussions.
Operator: (Operator Instructions) Our first question comes from the line of Anthony Kure with KeyBanc.
Anthony Kure – KeyBanc: Hey. Good morning, guys.
Anders Gustafsson: Good morning.
Mike Smiley: Good morning.
Anthony Kure – KeyBanc: Just wanted to hit on a couple of things, the Latin America and Asia in the fourth quarter sounds like there were some issues with Thailand and some timing issues. So, I guess, when I look forward to the first quarter guidance, if you were to breakdown expectations for those two regions sequentially into the first quarter, are those -- will be the seasonality there, are those expected to rebound into the first quarter or stay flat, can you just maybe provide some directional comments for those two regions?
Anders Gustafsson: Let start by giving you a little bit of a better color around the regions.
Anthony Kure – KeyBanc: Okay.
Anders Gustafsson: First on Asia-Pacific, 2011 was a great year for us. We grew 26% for the whole region, China was up 35%. And we should also remember that Q3 tends to be seasonally the strongest quarter in Asia. For what -- in Q4 we did see some slowdown in manufacturing. We are very exposed, very strong, we’re the largest contract manufacturers in China, but also in other parts of Asia and these tends to be large multinational companies, very sophisticated. They are probably little quicker than most to slowdown some CapEx programs if they start seeing some slowdown in volumes of exports. So, that was definitely a factor for it. And the Thailand situation kind of further augment a little bit of the tightness in the supply chain in some areas. But we expect certainly that 2012 becoming a much more diversified. So, our manufacturing base is continuing to be very important strong, strong part of the business, but we’re also expanding into retail, healthcare, transportation and card business, government is another area. So, it’s becoming a much more diversified business which should be then somewhat less acceptable to swings in manufacturing. For Latin America, again, we had a very good year in 2011, we were up 11%, we starting to see many more countries and many more products participating in the growth in Latin America, we really sold every product we have in Q4, card, mobile printers were probably the two most notable ones. What we did see in Latin American in Q4 there was a push, some larger deals got either pushed into Q1 or they got broken down into smaller components. So we didn’t see the full value of those deals in the fourth quarter. Our customers in Latin America, particularly in Brazil, tend also to be a bit sensitive to FX and the Brazilian real was a little stronger compared to the dollar and that tends to cost into whole unit of products and wait for. But generally, we see Latin America is being a very strong region with big opportunities, lot of investments for us and we had the Olympics, the World Cup and soccer coming up. So, our view of Latin America is also will be a very good 2012 and we will continue to invest and go for taking share in both of these regions, and we do believe that we will be sequentially up in Q1.
Anthony Kure – KeyBanc: Okay. Just a quick follow-up, maybe this is a little bit of the housekeeping. I think, Mike, you mentioned $2.2 million gain from finalizing some taxes dealing with Navis, is that all in the discontinued ops or was that in operating income and then, finically, what’s the tax rate for 2012?
Mike Smiley: It’s all in discontinued operations and we are looking at a tax rate for 2012 at 28%.
Anthony Kure – KeyBanc: Okay. Great. Thank you, guys.
Mike Smiley: Yeah.
Operator: Our next question comes from the line of Paul Coster with J.P.Morgan.
Paul Coster – J.P.Morgan: Yeah. Thank you. And so revenue growth rate has been declining for several quarters now in hardware and supplies. And I’m also, margins sort of feel like they’re plateauing. Can you just sort of cross your eye a little bit further into distance and give us some sense of what you think the long-term growth rate for the company is and what margin structure you are targeting over the long-term, Anders?
Anders Gustafsson: Well, the first, I think we’ve, Q4 was the first quarter where we had revenue declines sequentially for nine quarters. Now we previously had nine sequential quarters of revenue growth and we see this as more of a shorter term activity in Q1, particularly a return of more normal seasonality. We see though as we have a good pipeline for the New Year and we expect that 2012 will continue to be a good year for Zebra. I think many of our customers are doing similar things to what we are doing though now and then sitting back and holding back a little bit to see how 2012 will shape out and before they let any major capital programs go through. But I think that we’ve proven our ability to manage the business through all sorts of environments and we believe we are very well-positioned to continue to extend our leadership in the industry and gain share, and whatever the economic environment is going to be, we expect that we will do better then the markets.
Mike Smiley: Yeah. Just to your question about margins, I think a couple of things you should keep in mind is, we are looking at an FX margin -- FX environment with a stronger dollar, which is negatively impacts our topline and bottom line. We also have, traditionally in the first quarter, we will have higher employee-related cost especially in North America related to let’s say 401(k), social security, those types of things, which drives through our P&L. I think one thing that speaks well in the fourth quarter, as Anders pointed out, we had a lot of manufacturing. We want to strong in Asia-Pac in manufacturing that typically is a tabletop type product which is higher margin and so we expect, as Anders said, in Q1 that Asia-Pac and Latin America should increase. That should benefit us on the bottom line.
Paul Coster – J.P.Morgan: Okay. I guess, Anders, I’ll just go back to the growth rate. The year-on-year growth rate has been slowing and I’m just wondering, we saw a cyclical recovery coming out of the ‘08, ‘09 slowdown. How would you characterize the cycle at the moment and just coming back, just longer term question, what do you think your long-term topline growth rate is, is it low single-digit, single-digit, high single-digit kind of growth or could it even be double-digit which you’ve definitely experienced in the past?
Anders Gustafsson: Yeah. Obviously, we came, 2012, I think was, 2010, I should say, was a bit more of a recovery or rebound from the recession in 2009. 2011, we felt was more of a normal year but it certainly had a lot of good momentum. And we characterize today’s environment as being more normal -- normal seasonality for Q1 and we expect that we will continue to grow meaningfully above the industry growth rate, and we will talk a little bit more about that also at our Analyst Day that is coming up here next week.
Paul Coster – J.P.Morgan: Okay. Thank you.
Operator: Our next question comes from the line of Chris Quilty with Raymond James.
Chris Quilty – Raymond James: Good morning, gentlemen. Just a follow-up on the focus on the government market, is that U.S. government specific or internationally, and what gives you confidence that there’s growth there given some of the budget headwinds that we’re obviously seeing in the Pentagon budget?
Mike Terzich: Chris, this is Mike Terzich. I’ll take that. Government focus for us is global. There’s different areas within the sub regions that we’re particularly interested in, in the United States it has been in the area of the Department of Defense, we think we’re still underpenetrated there and as much as you’re seeing some contraction in defense spending, it’s pushing the need for them, excuse me, to have greater efficiency and productivity, so our solutions actually are picking up some interest in that particular area. The other portion of government is that the state and local level, both through refresh of some driver’s license facilities that we’re taking advantage of, as well as some e-citation opportunities as the states look to effectively generate more revenue. Outside of the United States, our focus has been in some of the postal areas, particularly in Europe and we see quite a bit of opportunity in government throughout Asia-Pacific, some of it in the form of healthcare identification cards, same thing driver’s licenses, some opportunities to work with government in the form of logistics and in the form of security.
Chris Quilty – Raymond James: And with regard to the, in the North American market, historically you’ve worked under the AIT contract, which if I recall is now more of an open IDIQ platform rather than a winner takes all?
Mike Terzich: Yeah. Right, right.
Chris Quilty – Raymond James: Great. And one question for, Mike, on the foreign exchange. Can you quantify for us what sort of headwind you’re factoring in here in the first quarter and not to predict foreign exchange for the year, but if you were to project that out for the balance of the year, what are we looking at in terms of headwind versus the tailwind last year?
Mike Smiley: Well, I’ll tell you what, what I can tell you is that in the first quarter compared to the fourth quarter we’re probably hurt by about $3 million from topline down to the bottom line.
Chris Quilty – Raymond James: Okay. All right. Thank you.
Operator: Our next question comes from the line of Ajit Pai with Stifel Nicolaus.
Ajit Pai – Stifel Nicolaus: Yeah. Good morning.
Anders Gustafsson: Good morning.
Mike Smiley: Good morning.
Ajit Pai – Stifel Nicolaus: So, the two questions, I think the first one is more about the growth rate, so if you’re just looking at you what the sort of secular drivers for growth are, in terms of penetration and also looking at a sort of, your share gains? In addition to that, are there any other drivers, which is, is there an eminent upgrade cycle that should be driving the whole market and that should provide an opportunity, within the next couple of years, or do we just based on analysis in our growth forecast on the base of how much share we expect Zebra to take and this capacity utilization, and expansion of your customers?
Anders Gustafsson: So, I think, we believe that there’s still very good growth rate in the industry. It come from the few different areas, but first, if you look at the emerging markets, that’s actually very largely underserved, market from AIDC perspective. There -- we followed the manufacturing customers into those regions but now as the rising middle class starts to want to do more shopping, retail. They expect better healthcare, they start using more transportation or logistics companies, more parcel companies. So as that being, the nuances I guess of their economies are actually they’re starting to use much more of our type of products and our type of solutions, and we see that as something that’s going to continue for long time. In our more established markets like North America, Western Europe, we’ve been working hard on expanding into new verticals. We have healthcare as being one that we’ve worked on for a while and this has been our fastest growing vertical I think for the last several years. And we see opportunities to also work with other type of the partners like independent software vendors, system integrators to position ourselves higher up in the value chain to get, better access to new applications. And beyond that, also we see good opportunities for RFID to become really good contributors to overall business. It is a great technology which has lots of different use cases and I think we see more and retailers particularly to do pilots or start to do implementations, so we would expect that to also become a bigger part of our business going forward.
Ajit Pai – Stifel Nicolaus: Okay. So could you give us some a little more color on the RFID opportunity, you talked about, you said more pilots, as well as some deployment. So could you give us some color as to what as a percentage of revenue it is right now and what pace it’s growing at. And any sort of, what’s really driving the change after the 2003, 2004 run up over there, the sluggish for a long time, but now what is driving that change?
Mike Terzich: All right. Ajit, this is Mike Terzich. As far as the contribution to the business, RFID, the path of RFID side of our business is still relatively small. Growth rate in absolute terms has been quite nice. What’s driving the applications base today is principally at the store level, the tagging of what retailers would identify as a complex skill, right? So complexity can come in the form of sizes and color options on sweaters, you see it in the automotive centers of some of the retailers. And so what is happening is, a lot of this stuff is being tagged at the source of manufacturers, a lot of it is in the international markets, but by the time it makes its journey to the store level there is a percentage of those tags that are damaged, need to be replaced in the store. So, we’re seeing opportunities across some of the discount retail, as well as some of the specialty higher end retail organizations in the retagging through mobile devices. Secondly, there is an opportunity at the source depending on the garment manufacturers, the size and scale of those garment manufacturers. There is opportunity for a stationary tabletop printer and coders to be used in some service bureau applications to do the original tagging. So that is where the interest lies today and we see it as kind of a narrow set of applications, typically marking goods that are higher valued, or you look at sweaters, you look at shoes, tires, are all stuff that can support $0.10 RFID tag.
Ajit Pai – Stifel Nicolaus: So, would it be fair to say that right now it’s driving a lot of the sales for you and the interest is more at the item level than at the ballet level that was driving things in ‘03, ‘04?
Mike Terzich: Yeah. It’s fair to say.
Ajit Pai – Stifel Nicolaus: Got it. And when you said it’s not material, would we say that it’s about 2% to 3% of your overall revenues or not even that much?
Mike Terzich: It’s less than 5%.
Ajit Pai – Stifel Nicolaus: Less than 5%. Got it. And the second question would be just looking at the opportunities outside of your traditional businesses and also in your traditional businesses what the competitive dynamics are. So, has there been any change during this slowdown, you’ve had a consolidating competitor, you’ve had though become, acquire more businesses that are broadly related, you’ve had some other changes in the industry as well? So, has there been any change in terms of pricing or in terms of competitive intensity in your core business and in new business in terms of acquisitions or are you seeing a richer pipeline of potential opportunities?
Anders Gustafsson: That’s one question.
Mike Terzich: Lot of comments in that question. So, okay, let’s, a couple of things, change -- there are some changing dynamics. I would say this, when we went through the economic cycle of ‘09 and early ‘10, I think two things have happened that have benefited Zebra to a certain extent. One is that, at the end-user level, I think it was an opportunity for end users to look at cleaning house and consolidating some of their vendor choices, some of their supplier choices. And I think when that happens typically the stronger branded products tend to do well and I think we picked up some business at an end user level where they have standardized on Zebra as a technology platform across their business. That same phenomenon occurs at the channel level as well. So, when you look at what happens in the broader channel ecosystem. I think channel partners go through a little bit of that same inventory. They say, boy, can we consolidate some of our vendors, simplify our business and because of our long standing high-quality reputation in the marketplace. I think we picked up some competitive partner relationships that have helped us to gain some of the share that Anders noted earlier. As far as changing dynamics, there’s a couple things that are interesting in the marketplace. One, financial services, right. This is an area particularly supportive of the rising middle class. We talked about that earlier. But in areas outside the United States, principally in Latin America, South America, we’re seeing a lot of interest for the instant issuance of bank cards, debit cards, credit cards, right. There’s a lot of reasons why that is of interest, principally because there’s a lot of mail fraud, a lot of security issues with mailing credit cards with folks that now have a higher disposable income. The banks have figured out that, they could print those at the bank branch, give it to the customer directly, so they avoid a security risk and then that customer literally leaves the bank and walks around the corner and starts using their credit card, so they like that, they like that aspect. So Zebra’s card product line is playing quite nicely into those opportunities. And then the last that I think is worth mentioning is, we are seeing some resurgence in North America. We’ve had two good quarters in a row principally built off of some refresh of our installed base which is in the manufacturing warehouse sector and we are seeing a little bit of automotive supply chain come back. I think some of the domestic automotive manufacturers have announced expansion of their capacity primarily to support export demand that’s coming from some of this rising middle class elsewhere. So this is good for Zebra, because our extended supply chain in automotive goes -- is very rich and it tends to be a composite of product that is our higher margin heavier industrial product so.
Anders Gustafsson: Yeah. Ajit, just to augment that in a couple of ways. First, I think we feel very good about our strategic positioning. So, I think, some of perspective of how, what’s going on strategically or competitively in industry, we feel we are very well-placed, very well-positioned to be able to continue to compete well and extend our lead in the industry. And we have over last few years made a number of very prudent investments which paid off very well into 2010, 2011 period, and they have not fully yielded all the results yet. So we expect to see further good results from those investments in 2012. We’re confident that we have gained share in the industry over the last couple of years and we fully expect that we will continue to extend our leadership position as we go forward.
Ajit Pai – Stifel Nicolaus: Got it. Thank you.
Operator: Our next question comes from the line of Marty Moser with Northwestern Mutual.
Marty Moser – Northwestern Mutual: Hi. Most of my questions have been answered, but I guess if you could provide some commentary on Latin America push out and visibility going into next year? And then sort of the Asia-Pac, how things have looked post Chinese New Year?
Mike Terzich: Marty, I’ll take that. Okay. As far as Latin America goes, what happened a bit in the fourth quarter, we actually had, our business, we have three sub regions within Latin America. It’s basically Brazil, Mexico and everything in the Southern cone, so to speak. Our business in Mexico and Brazil was good. It was a little softer, as Anders mentioned, relative to Brazil and some of the foreign exchange issues that tend to kind of govern the pace of business a bit. In the Southern cone, we were a bit softer. So the outlook for that business rolled off into Q1. Outlook for Q1 is, we expect to see a nice rebound in the Latin America business. It’s really just a speed bump a little bit in the road and I do think that when we look at the project pipeline, principally centered around Brazil and Mexico, things look pretty healthy. So, we’re pretty confident we’ll see improved performance in Latin America in Q1. Asia, the issue as Anders noted was the multinational manufacturing business in China and a little bit of industrial manufacturing in other places like Korea, which is also a heavy industrial region for us as well. That was a bit softer and that was principally driven by export demand, which I think is in some ways tied to some of the Thai flooding people had and an inability to produce their own goods. The contract manufacturers, as Anders mentioned, pulled back a little harder. Chinese New Year was earlier this year in January, so January was pretty much what we expected it to be in Asia. We’ve seen some nice rebound as people have come back online in February. And our expectation again for Asia, is that Asia will rebound from the softer Q4 that we saw.
Marty Moser – Northwestern Mutual: Thanks. I guess, if I could follow-up the North America business perked up a little bit, what sort of the visibility on the pipeline for next year there?
Anders Gustafsson: Yeah. Well, we had a great Q4 in North America, followed by a very strong Q3. So, the second half of North America, we felt very good about. We have previously said, we’ve developed very robust strategy for how we’re going to continue to drive the growth in North America and I feel that’s starting to work for us and we’ve invested in more strategic sales competencies to be able to be closer to our largest accounts, and really understand their needs better, and make sure we have the right products available at the right time for them. We also continue to work more closely with a number of the ICs and system integrators to position ourselves higher up in the value chain for some of these accounts. And all of these things are starting to bear fruit for us. So, we had a very strong run rate in North America, augmented by, I would say, a normal large deal activity and when we look at the Q1, we see this being a kind of a normal transition to Q1. Our pipeline is healthy and growing, and we’re winning good business. So we expect that 2012 will be a solid year for North America.
Marty Moser – Northwestern Mutual: Thanks.
Operator: And our next question comes from the line of Keith Housum with Northcoast Research.
Keith Housum – Northcoast Research: Good morning, gentlemen. Looking at your SG&A for the quarter, understandably its high and part of that is due to the $2 million in the Partner Conference, but you back away the $2 million and still considerably higher from sequentially third quarter and last year fourth quarter, and I believe you guys mentioned higher insurance costs is being a part of that component, as well as additional investment in resources. I was hoping maybe you spend a little time on that insurance cost comment and then perhaps, how we should look at that going forward into 2012?
Mike Terzich: Yeah. Let me just give you a little more color there. So, we had, as you mentioned, we did have that offsite meeting which is more of a one-time occurrence. And as Andres was talking about Mike has been working on, we have been trying to build our relationships with our ISVs and partners, and so our market development spending, business development has gone up from the prior quarter. We also had -- the insurance item is really more of a health insurance item and we are for the most part except some apps we are pretty self-insured. So, to the extend to the, it’s tough to predict what that spend is going to be for insurance until we can sort of guess what people’s health is going to be, but that was just up and we can’t really guess that real well.
Keith Housum – Northcoast Research: So, part of that, I guess, say, $2 million increased quarter-over-quarter, would half of that be to the insurance component?
Mike Smiley: Probably about $0.25 of it or so.
Keith Housum – Northcoast Research: Okay. And then for the rest you’re assuming business development and investing in the resources?
Mike Smiley: Yeah. Exactly.
Keith Housum – Northcoast Research: Okay. Okay. Thank you.
Mike Terzich: And again, I would say that we’re looking, we’re investing in this stuff, because we feel confident this stuff is going to pay off in the long run and that’s I think something we’re excited about.
Keith Housum – Northcoast Research: Great. Thank you.
Operator: Our next question comes from the line of Greg Halter with Great Lakes Review.
Greg Halter – Great Lakes Review: Oh! Yeah. Good morning, guys.
Anders Gustafsson: Good morning.
Mike Smiley: Good morning.
Greg Halter – Great Lakes Review: Just looking at your other income for the year about $1.9 million I guess on average cash of $293 million cash and investments works out to I think 0.6% or so. Obviously, the rates are not very high out there. Just wondered what your thoughts are relative to a dividend, as well as a more aggressive share repurchase given the fact that there’s over $6 a share in cash.
Anders Gustafsson: Well, first on, I’ll start with kind of the use of cash for us and how we think for that and we have -- in 2011, we were quite aggressive on buying back sort of [1.4 million] shares and we spend a $160 million to buyback a lot of shares, 4 million -- 4.4 million shares. So, we’ve all along stated that our strategy is to be opportunistic and somewhat price sensitive. So we stepped up our activities a lot in Q3 when the share price was trending down. We put out back a little bit in Q4 when the share price kind of came back quite strongly. And we think that that’s a good strategy for us. Most investors we talked with they feel that’s a good use for us to or a good way for us to return capital to shareholders. So we expect that to be the predominant way for us to continue to do this. And I think it has paid good dividends for us so far, it’s been a good way for us to really accelerate EPS growth for us. Mike, is there anything else do you want to say?
Mike Smiley: No. I just think we have returned a lot of cash to our shareholders and I think that’s something we will look at all our opportunities for investing cash in a risk-adjusted return and last year we saw it to be very attractive.
Greg Halter – Great Lakes Review: All right. And another one for you quickly, sales to ScanSource either in the quarter or the year as a percent of the total?
Anders Gustafsson: Yeah. That was around, well, our -- let me just put it this way, sales to our largest shareholder was around…
Mike Smiley: Vendor.
Anders Gustafsson: Vendor. Yeah. We have been selling to shareholders, sorry. Largest vendor was around 20% as I recall.
Greg Halter – Great Lakes Review: That’s for the year, I presume?
Anders Gustafsson: Yeah.
Greg Halter – Great Lakes Review: Okay. Thanks.
Operator: (Operator Instructions) Our next question comes for the Tim Mulrooney with William Blair.
Tim Mulrooney – William Blair: Good morning, gentlemen.
Anders Gustafsson: Good morning, Tim.
Mike Smiley: Hi, Tim.
Tim Mulrooney – William Blair: My question is around your healthcare vertical. Just wondering what percent of sales is healthcare today and maybe how fast is that growing? And then, are there any recent business wins or developments related to healthcare product?
Anders Gustafsson: All right. Tim, I’ll take that. As far as, the size of the business, it is principally centered today in North America and in Europe, and a lot of the business has been in the area of patient safety. As far as disclosing how big it is, we typically don’t do that. It is a business though that I would say is, it’s less than 10% of our business. But it is growing rapidly and principally off of the need at the bed side level and at the hospital level to introduce more technology to improve that patient safety initiative. What makes it an interesting space for us is that it -- we’re seeing great success of our HC100, which is a very specific design solution for the printing of wristbands. And that wristband is printed in the form of a -- through a cartridge making it for easy operator use at the desk level for the nurses stations, et cetera. And we enjoy 100% of the attach rate for those wristbands that run through those devices. We’ve seen that now in the form of the mandates that have went through some of the U.K. to increase the use of patient, automated patient identification and we’re seeing more adaption in the United States. In essence, I think as the other global markets mature a bit and as the economies continue to improve where the consumers are going to put more demand on some health reform in parts of Asia, parts of Latin America, we see this kind of working its way across the globe, so we like where we’re positioned.
Tim Mulrooney – William Blair: That’s great color. Thank you. And if I could just ask one more, I think in your guidance for the first quarter, did you say that FX would have a $3 million impact on the top and bottom line or did you just say topline, could you just clarify please?
Mike Smiley: Yeah. So, effectively what the source of the FX impact is primarily, we sell in Europe a portion of our European sales in euros and so that gets converted back to U.S. dollars. And so effectively that difference in FX rate just flows all the way through, for the most part with some euro expenses, but it mostly flows through all the way to the bottom. So when you look at it, it’s roughly $3 million impact to both the topline and pretty much the bottom line.
Tim Mulrooney – William Blair: Okay. Great. Thank you.
Anders Gustafsson: Yeah.
Operator: And our next question comes from the line of Rick Johnson with [Tieg].
Rick Johnson – Tieg: Yeah. Thanks. I was on the same current issue. When you say bottom line, do you mean operating income or net income?
Mike Smiley: Well, the operating income and then you tax effect it.
Rick Johnson – Tieg: Okay. Just wanted to make sure, you’re talking about operating income. And that is sequential…
Mike Smiley: Yeah.
Rick Johnson – Tieg: …you’re talking about a sequential, yeah, right.
Mike Smiley: Yeah.
Rick Johnson – Tieg: Year-over-year is that about the same?
Mike Smiley: Yeah. It’s about the same.
Rick Johnson – Tieg: Okay. And you’re using an assumption of a euro for Q1 of what in that cal -- assumption of $3 million?
Mike Smiley: Generally the current sort of spot rate.
Rick Johnson – Tieg: Okay. All right. Thank you.
Operator: And our next question comes from the line of Keith Curtis with Brant Point Capital.
Keith Curtis – Brant Point Capital: Yeah. Hi. I was just wondering what share count you guys were assuming in your guidance and also you referred to the industry growth rate that you guys are going to be able to grow faster than that. I’m just curious how you quantify the industry growth rate? Thank you.
Mike Smiley: Let me the answer the first one because that is mechanical. It’s basically flat with where we ended the quarter. There is a little bit of a change but not much. That’s sort of how we do the number. It’s not meant to be an indicator on our share of buyback.
Keith Curtis – Brant Point Capital: Yeah.
Anders Gustafsson: And when we talk about industry growth rates, we tend to refer back to AIDC as the independent industry consultants that predict about 6% to maybe 7% growth rate for the industry, off memory now and but a 6%, maybe up to 7%.
Keith Curtis – Brant Point Capital: Thank you.
Operator: (Operator Instructions) And there are no further questions at in the queue at this time.
Anders Gustafsson: Okay. With that, we want to thank you for joining us today. I’d like to let you know that our next regularly scheduled conference call, which will be for the first quarter will be on April 27th, so that is a Friday. The reason we are doing it on a Friday morning is because of various schedules, but just to let you know it is on April 27th. And also to remind you, we want to remind you about our Analyst Day coming up on February 22nd and either you could join us in person. Let us know if you’d like to attend or we will be webcasting. Thank you.
Operator: Thank you, ladies and gentlemen. This does conclude today’s conference call. You may now disconnect.